Operator: Good day, and welcome to the P&F Industries, Inc. First Quarter of 2022 Earnings Call. Today's conference is being recorded. At this time all participants are in listen-only mode. Following management's remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Richard Goodman, the Company's General Counsel. Please go ahead, sir.
Richard Goodman: Thank you, operator. Good morning, and welcome to P&F Industries' first quarter 2022 conference call. With us today from management are Richard Horowitz, Chairman, President, and Chief Executive Officer; and Joseph Molino, Chief Operating Officer and Chief Financial Officer. Before we get started, I'd like to remind you that any forward-looking statements discussed on today's call by our management, including those related to the company's future performance and outlook based upon the company's historical performance and current plans, estimates and expectations, which are subject to various risks and uncertainties, and could cause the company's actual results for future periods to differ materially from those expressed in any forward-looking statement made by or on behalf of the company. These risk factors and uncertainties are described in today's press release under forward-looking statements as well as in our most recent SEC filings, which you can find in the company's website, including our 2021 annual report on Form 10-K. Forward-looking statements speak only as of the date on which they are made, and the company undertakes no obligation to update publicly or revise any forward-looking statements, whether as a result of new information, future developments or otherwise. I would also like to remind all participants on this call that as we announced in our April 25 press release as part of our efforts to streamline the conference call process, the company has revised its procedures relating to the questions-and-answer portion of the earnings conference call by limiting the length of the questions from any particular stockholder or other caller together with management's responses to 20 minutes. Additionally, please be aware that during the question-and-answer session, management will only answer questions directly related to the company's results of operations and financial condition relating to the first quarter of 2022, we must insist that you adhere to this procedure. Management will not be entertaining any questions that go beyond the scope of this call. And with that, I would now like to turn the call over to Richard Horowitz. Good morning, Richard.
Richard Horowitz: Good morning, Richard, thank you so much and good morning, everybody. Thank you all for joining us this morning to discuss P&F's results for the three-month period ended March 31, 2022. I hope all of you are doing well as a country and the world are trying to exit the ill effects of this global pandemic that seems to continue and keep going. Our thoughts and prayers go out to those who have lost loved ones due to this deadly disease. Further, our thoughts and prayers go out to the victims of the current crisis in Ukraine may it soon come to a peaceful resolution. During the first quarter of this year 2022, P&F continued to encounter the ill effects of the COVID-19 global pandemic. The areas most affected were the ongoing difficulties of our sales force encountered in their effort to gain onsite product presentations, which in particular hampered the growth of our PTG or gears business to some degree. The supply chain disruption which we will all see about every day in the news, which cause and continues to cause major delays in receipt of much needed inventories and additionally the excessive costs we continue to incur. Most notably ocean freight costs, which remain at historic highs are adversely affecting our gross margins. I would like to direct your attention to the company's press release that we released earlier today, which includes the company's March 31, 2022 balance sheet, statement of operations, statements of cash flows and discussion related to the company's results for the three-month period ended March 31, 2022, and how these results compared to the same period in 2021. In order to make better use of everyone's time, yet be mindful of the purpose of this conference call. I would like to remind all of you of the following. First, as we have done to several previous conference calls and has become our standard practice at this time, we will move directly to a question-and-answer session and not restate what is already in this morning's press release. Secondly, please be aware that we will only be answering questions relating directly to the company's results of operations and financial condition relating to the first quarter of 2022. We must insist that you adhere to this procedure. Management will not be entertaining any questions that go beyond the scope of this call. And finally, please be mindful of the 20-minute time limit as previously noted, which we plan to enforce. To the extent shareholders or other callers with pertinent questions have multiple questions, please complete your portion of this Q&A session within a 20-minute time limit and then we will move on to the next questionnaire. And with that, we will be happy to answer any pertinent questions that you may have at this time. Operator?
Operator: All right, thank you so much. [Operator Instructions] We'll go ahead and take our first question from Andrew Shapiro with Lawndale Capital Management.
Andrew Shapiro: Yes hi, I hope this won't count against the timer here. Can you repeat what the rules are here on the 20 minutes? You want me to just ask question after question are back out into the queue, please.
Richard Horowitz: You just keep going on with your questions Andrew, you know and then 20 minutes later.
Andrew Shapiro: Okay, all right. Can you expand on discussion on the price increases your press release said you instituted at the beginning of April? And were they across both Hy-Tech and Florida Pneumatic product lines? And how are they impacted your orders and sales?
Richard Horowitz: Yes, I thought that in our press release, I thought we kind of said it kind of clearly but I'll repeat it anyway for you. The cost increases are what you see in here every day in the news prices of gas, prices of ocean freight which are roughly five times.
Andrew Shapiro: No, I didn't ask about cost increases Richard, I asked about price increases. Were they across both Hy-Tech and Florida Pneumatic and have they impacted your orders and sales?
Richard Horowitz: I apologize. Yes, we've had price increases throughout our company is that what you're asking?
Andrew Shapiro: Were they across both the Hy-Tech in Florida Pneumatic and how they impacted your orders and sales? Are your customers rebelling? Are you keeping a similar pace, you had otherwise said things were kind of growing has it stopped your growth in unit sales?
Richard Horowitz: I have not noticed anything sort of negative in that regard. Joe, you can you can chime in. I haven't noticed a thing. I think people realize that. It's a way the world right now, Joe can answer.
Joseph Molino: Yes every customer saw this coming. They're seeing the same price increases from every competitor. So you know, at some point, could prices get to the point where it just tamps down demand period for the whole industry, sure, but I don't think this round of price increases had that kind of effect.
Andrew Shapiro: Okay. And it's not having an effect on market share that you see?
Joseph Molino: Not that we can see.
Richard Horowitz: No, not that we can see.
Andrew Shapiro: Okay. And I think your preliminary comments discussed that you are still not getting into and having onsite visits as much as you'd like. Has the instances of onsite visiting and getting in -- on the PTG side, as well as your North American Aerospace like Boeing and suppliers, as well as Airbus? Has any of that opened up at all or is it the same as it was last quarter?
Richard Horowitz: Yes, things have relaxed a bit. It varies from company-to-company. Of course each company has its own set of parameters that work for them. But in general, I would say I mean, if I were to give an estimate, I would say it's maybe 60% to 70% of the customers are taking business now, Airbus and Boeing do, but on a very limited basis, but they still do. But we are seeing, it loosen up a little bit not like we want it to be but better and Joe, anything you want to add to that.
Joseph Molino: No, I would agree just -- we've never really had much trouble getting into Boeing. The issue has been more about the critical people at Boeing that make decisions regarding new product haven't always been available because they haven't been in the office. So we can get in, but the people we want to see aren't always there. So it slows you down a bit.
Andrew Shapiro: Okay. And as the doors are opening for the visits, is that following and flowing through with your expectations that orders have been in and are following?
Richard Horowitz: Again, it depends on the customer. The bigger customers, like the Airbus, which are new customers, are going to be new customers. It's a much, much slower process. It's not like -- as I know, it's not like selling a toothbrush, it was engineered products and stuff like that. So all of them are a little you know, the more engineering, I would say the more engineered the product is, the more of a lag there is. Joe, anything you want to add to that?
Joseph Molino: Yes, that's agreed, I would say that we have seen more activity on the PTG side, because of the fact that it's -- while it is an engineered sale, it's a little bit simpler of a process. And we are seeing the flow of opportunities grow there as we get out of fields, -- we're pretty optimistic about that.
Andrew Shapiro: And with respect to PTG and the gears, is the decline in orders from a large PTG customer that partially offset the gains from your acquisition of Jackson Gear, something that you see as temporary or more long lasting?
Richard Horowitz: Joe, you can answer that.
Joseph Molino: Yes, it's temporary. We've had technical issues with a product or a product line, we've resolved those. So, we expect those orders to resume. And yes, it did impact. You know, obviously, it brought down the total number, we would have seen a greater impact from the acquisition if not for that.
Andrew Shapiro: Sure. Awesome. Regarding Florida Pneumatic, what's the present status of the large, late 2021 Home Depot order you built inventory for in Florida Pneumatic in Q4, that couldn't get shipped out in the March quarter. Did they get shipped out yet during the present quarter? Or what is its expected timing?
Richard Horowitz: Yes, it's all shipped at this point. It's all been shipped. It took the last two or three weeks something.
Andrew Shapiro: Awesome.
Richard Horowitz: Yes.
Andrew Shapiro: And regarding the transition of your products and Home Depot to your new husky tools that I guess, just got shipped. Over how many quarters or years were the discontinued products being sold by Home Depot? And is this the time horizon around the same duration, you would expect your new line of tools to be made for and sold to Home Depot?
Richard Horowitz: The short answer to that question is, yes. But Joe, you can give more details.
Joseph Molino: Just -- yes, I would say this, first of all, it wasn't a complete reset with every tool being brand new, I think there was don't quote me, there was some refreshing of some similar tools, there was a discontinuation of a couple of tools. And just, you know, upgrades to some older tools, it was a bit of everything. And this happens every four or five years. Sometimes, you know, you can have parts of lines that change out sooner or later. But you know, every four or five years, and again, in this case, some of them more even brand new tools. So, you know, it's just the way, you take a step back, you reset the displays, you know, you talk to the brand people there and discuss changes that you might want to make. So these things happen throughout the relationship from time-to-time, and there's no set period when it happens, but it does seem to ever happen every four or five years.
Andrew Shapiro: Okay. As of the March call, in addition to the large Home Depot order we just discussed, you said the inventory you built up to increase safety stocks was not yet where you felt fully stocked, and would still take a few months. And it's now been a few months, do you feel the company is now at desirable levels and have the out of stock problems been addressed?
Richard Goodman: It's again -- and that's a individual product sometimes issue and other things. We're not totally out of the woods, but we're very, from what we've been told, but very, very close to being out of the woods. Joe, you can add on.
Joseph Molino: Going forward, I don't anticipate any meaningful impact on sales as a result of being short on product.
Richard Horowitz: Right.
Andrew Shapiro: Okay. And would you expect, I guess over time, the inventory levels would be coming down and cash would be generated or that is going to take a greater visibility and improvement in the supply chain.
Richard Horowitz: No, what you're just saying is accurate, Andrew.
Andrew Shapiro: Okay.
Richard Horowitz: We are forecasting that the inventories will be coming down pretty, you know, pretty dramatically in the short term.
Andrew Shapiro: Okay. Can you expand on the change in the distribution channel strategy at Florida Pneumatic that you're employing in the automotive subsector and referred to in the press release? And is it temporary or more -- and the change in the strategies temporary and more, and what's more long lasting impacts from both revenues and well as margins?
Richard Horowitz: I'll let Joe answer that. But the short answer again, is it's not a short term thing. It's how we're moving forward. But Joe, you can go ahead.
Joseph Molino: Yes, so up until sometime last year, we would sell product to Amazon, they would take ownership of the product, title the product, and fulfill orders. Sometime last year, we started working with a third party, selling them the product who in turn, worked with Amazon to fulfill orders. The product is still fulfilled by Amazon. But there's an intermediary, there are certain things that this intermediary provides to us in our partnership that are positive to us. So it's just a different, a different way of doing it, it doesn't really affect the consumer, in really any way, it's just a little easier to manage the situation with a third party.
Richard Horowitz: And, I'll mention this -- I mean you asked this question to Andrew, the reason we shipped the Home Depot in the second quarter was because that's when they wanted it. And that's -- and we knew that right from the start, we just had a -- we didn't want to take a chance and not check the material in and get off on the wrong foot with everything going on with the shipping and all that stuff. So we - that's what we ended up taking it in a little bit earlier.
Andrew Shapiro: Okay. You talk about a decent growth in the OEM Hy-Tech area. Can you discuss any new products or your experience in the OEM area that you've introduced where you see the increased shipments to two large customers? Is that something transitory or more long lasting?
Richard Horowitz: You're talking about in the gears business or in our OEM business? I'm sorry.
Andrew Shapiro: OEM.
Richard Horowitz: Go ahead, Joe.
Joseph Molino: Well, there's nothing new. We've expanded our relationship with our larger -- our largest customer there, but it isn't -- it's not a new customer and the market isn't even particularly new for us.
Richard Horowitz: Right. We're just doing more business in other products if they add, that we can accommodate them with you know now. As the relationship grows, they have more confidence in our quality and our delivery schedule. So they give us more business, different things.
Andrew Shapiro: Okay.
Joseph Molino: Which is not insignificant.
Richard Horowitz: Which is not insignificant.
Andrew Shapiro: Right. On the prior call, there was approximately $3 million comprised I think of two big tax refunds or about $1 a share that is coming to the company over the course of the next year and a half or so. What's the current visibility on the timing and receipt of those two cash payments?
Richard Horowitz: Okay. Again, I'll let Joe give you the specifics of it. But there's nothing changing in terms of the timing of it, except that we did get the government refund for less for the prior year. We got that about four or five weeks ago. That was a million, Joe what was that 1.3 million, I believe.
Joseph Molino: Let's call 1.350 million and it was for the 2020 return.
Richard Horowitz: Right. And that's received, right. Yes, there's the -- 
Richard Goodman: That's the NOL refund.
Joseph Molino: Essentially, yes.
Richard Horowitz: Yes.
Richard Goodman: And so that comes out of the $3 million and then the rest is the primarily employee retention credit, which you're not going to see until 2023. It was ex-credit.
Richard Horowitz: Go ahead, Richard.
Richard Goodman: Go ahead, Joe.
Joseph Molino: That credit was part of the 2021 return. So it's not just that number obviously, there's the rest of our results that affect that figure. But yes, that we are expecting a refund sometime next year.
Andrew Shapiro: Okay. Well, then I don't necessarily have to ask about it next quarter. I'll put it off with that.
Joseph Molino: Yes. If we get it, we'll tell you.
Andrew Shapiro: Okay. And capital allocation wise, is the view to focus more towards making new acquisitions to permanently lower the company's average debt levels or returning capital to shareholders with a reinstatement of dividend rate and or selected stock buybacks.
Richard Horowitz: It's all on the same plateau and we look at them -- as we discussed we look at that every time we have a board meeting or board discussions, and we balance our company needs in terms of cash buyback, dividends and if there's a company that we're looking to buy if it's going to be accretive and help us marketing wise and to the bottom line, we would consider that as well. I don't know if they're mutually exclusive. But as I said at the last call, and I'll say it again now, you know, we'll review that, we review that very regularly. And we don't need it -- I say this respectfully, we don't need to be reminded because we know exactly what is needed and what is required and what we want to do. It's just a question of -- when we feel that it's a comfort to do it. We don't want to put ourselves in a position that we -- that we have a dividend and then we have to discontinue it again, we don't want that to happen. So, when we -- if and when the time comes that we do a dividend, you can be rest assured that our plan is to continue unless God was making unforeseen things develop, like, it happened with the pandemic.
Andrew Shapiro: Okay. I want to move on, because I know I only have about 10 more minutes, maybe a little less is the -- 
Richard Horowitz: Actually five.
Andrew Shapiro: I'm glad you are watching the timer so closely. On previous calls, you said you were still very actively looking at tools, businesses, aerospace, automotive, industrial. Can you update us on the focus of the acquisition process? Is it that broad based or have you narrowed in on areas that you're looking at? And do you have the bandwidth right now to even do that, as you are integrating Jackson?
Richard Horowitz: We like to gear I think we said this in the press release also. We like to gear space. We're a definitely big player in that space now. Our business as -- with this acquisition essentially doubled, and it's not a business of gigantic companies. So we're a real factor in our business now. And we have a very wide range with our last two acquisitions. So I think given a choice that is an area that we feel very comfortable expanding. Having said that, if something comes up that relates to our businesses, tools, et cetera, et cetera of course, it all depends as well.
Andrew Shapiro: Okay. In the aerospace side, we know you had a while ago you had Jiffy and Pneumatics acquisitions. And you had the opportunity, you had a full suite of P&F tools, including new ones that could serve aerospace from Florida Pneumatic, Jiffy, Hy-Tech Pneumatics, all of these various things, and you're ready to present them once you're able to get into the facilities and as you described, get into the right purchasing people for the long engineering process. Do you maintain that high level of confidence that that these tools that you had developed, but in a sense have had to be deferred at getting into them, that they are still somewhat state-of-the-art and -- you have an attractive opportunity that they're likely to glom on to in their long engineering cycle -- that there's something advanced or enhanced about your tools versus someone else's?
Richard Horowitz: I think we're fine. I think we're fine in that area. Joe, do you agree.
Joseph Molino: Yes, not only we are fine, we have never really, completely stopped working with the technical people at Boeing and Airbus on thing. So yes we're very state-of-the-art because we're talking to them right now about things. So I'm not worried about us falling behind.
Richard Horowitz: Okay. You just got to be able to get into them.
Andrew Shapiro: Yes, yes, all right. Well, I'd like to perhaps reserve the extra two minutes for next quarters call. I'm done.
Richard Horowitz: Unfortunately, we don't do it. We're not -- that's not on our plan. But if any other questions you want to ask, Andrew, please do we have two minutes left. Happy to answer them to you.
Andrew Shapiro: No I'd love to yield my two minutes to someone else in the queue since they've been so patient waiting?
Richard Horowitz: Okay, all right. Thank you and stay well, and stay safe.
Operator: [Operator Instructions] We'll go ahead and take our next question from Timothy Stabosz. Please go ahead.
Timothy Stabosz: Good morning, I own 4.5% of the company roughly. Richard, you said that we look at capital allocation all the time obviously looking at this earnings report. We've got a decline in earnings. The company hasn't made money in years. You've had a strategy in place yet, we had a good robust discussion about that at the last conference call in the context of Boeing and MAX and the volatility to say the least in the crude oil market, but I think it, you know, when the subject of capital allocation comes up, I think that you should be as contrite as possible because we haven't made money for years here. And I think it bears asking you and not Joe to reassert if you can, reassert the imperatives and the compelling nature of the company you're building because shareholders have been suffering, but no profits for years here. And I've been excited at times, okay, they got a strategy but you know it hasn't come through. And so when we look at you guys, continuing as you are, and hoping for, you know, $1 plus earnings per share, whatever it is, I would hope for versus the notion that you could possibly sell this company for upwards of three times the current stock price. So as capital allocation goes, the shareholders deserve -- the outside shareholder deserve to know that the Board is robustly looking and considering those things, and not just the fact that the CEO needs to make $1.5 million a year -- each year, I'm not trying to be nasty but these shareholders and I as a 4.5% owner, I'm asking you right now for reassurance, that how these strategies are as compelling, in your own words, what makes them so compelling that you're going to make money for me, and all of us, because we've been waiting a long time. And I hope you can appreciate that. And I know you can appreciate that. So I'd like to get your response.
Richard Horowitz: Yes Tim in all due respect, I believe..
Timothy Stabosz: And that's an earnings question, that's an earnings question. So don't go there.
Richard Horowitz: Let me answer the question. I believe if I don't - if I'm not correct, I would be surprised. Joe, you can tell me if I'm wrong. But I think before the pandemic, the company was making profits every year, and that's two years ago, am I right Joe?
Joseph Molino: We were, let's just go back in time a little bit. The company was profitable in 2018. 2019 was a transition year. We made a lot of money in 2019, but we had a big sale of an asset there. We were doing -- we're down to two companies, right. We've got a tool company Florida Pneumatic, we've got Hy-Tech. While Florida Pneumatic was doing quite well, we were engineering a complete turnaround of the Hy-Tech business beginning in 2019 for those of you that remember, there was a time when most of the Hy-Tech business was large, heavy duty impact wrenches sold into oil and gas, industrial areas, that business has gone mostly to Chinese tools. So that was our business. So as we had brought in a new President back in 2017, 2018, we tried and have successfully engineered a turnaround of that business. But the profits that we had, which were quite large, in terms of margin, are not as robust in the new business we're in, they're nice, they're healthy. But we're not finished with that turnaround. And, you know, on a consolidated basis, it's going to take a little longer to get there. So I don't think there's anything wrong with the strategy. And then of course, I don't have to remind everybody about the elephant in the room, that they don't make 737 MAXs at the pace, they were making them. That was a huge customer for us with the highest gross margins in the history of the company. So, until that comes back, and we have every reasons to believe it will, that's going to have a huge impact on the bottom line. So I don't think there's anything wrong with our strategy. We've changed up our strategy on the Internet product. We have a robust industrial product line that I think is poised to take advantage of the infrastructure project. We've got huge opportunities in rolling up gear companies with the Hy-Tech business. So I don't think there's anything wrong with our strategy, but we're not finished. So I don't know how to answer that, but I think you will see those numbers come.
Richard Horowitz: Yes, and Tim - I'll just answer a little further, just for you. You know, like, none of us can - none of us have crystal balls. We're not superman and I only mean that in a respectful way. So we can't, you know, show you of anything, and I don't think anybody in the world can show anybody in the world of what's going on and craziness. But I say what Joe was saying is absolutely correct. I think that -- I think without getting very specific, our backlog in both our companies right now, is extremely healthy, extremely healthy is as good as I can remember in several years. When the pandemic hit, most everybody lost money and we were no different. But before that we were rolling, and we were doing just fine. And we would have continued. And now we bought in -- during that time we bought another company now, which is strategically has been in the press release, strategically is a very good fit for us. And it's paid and we're seeing the dividends already being paid off. And we are very comfortable that -- we're not comfortable being an unprofitable company. And it's only because of the pandemic. And things are absolutely turning around. I don't know if that makes you feel any better or any worse. But that's, you know, and I think it's a fair question you're asking, and we're giving you what I think is the right answer so.
Timothy Stabosz: I think they're fair answers. I appreciate the color, that's good color, that's good commentary. I think shareholders deserve at least to know, frankly, do you guys have a goal or a belief in any case, not a projection that the strategies can earn with any good solid businessman would want to earn which is a double digit eventually, whenever a double digit return on equity for the investment made. Can you reassure to shareholders that they did not projection, the attorneys don't need to be involved. Just that event, good faith, that's an expression of good -- as an -- yes, as an expression of good faith. Okay. I'm sorry, go ahead.
Richard Goodman: But in all due respect, you know, we're not looking at you in the eye, we're not doing any of that stuff, we're very comfortable with where we are. And we think, if we were not going to be making money, we wouldn't be here, we wouldn't be the company anymore, our banks feel confident, we just have new agreement, and I'm sure you read about it. Especially of our agreement, everybody feels very comfortable with where we are, our advisors, our board, our management, we're on the right road. And that's the best I can tell you, I can't promise you -- 
Timothy Stabosz: Well, the banks are just happy making money off the company and as much as anything as long as they get their money back. So I -- the most important thing is that the faith and the good faith with the shareholders and really the outside shareholder base but I appreciate the color and thank you for it.
Richard Goodman: Okay.
Timothy Stabosz: And I'll get free my time on it. Mr. Shapiro has another question. The follow-up, I don't know, but or another shareholder. Thank you. Thank you very much.
Richard Horowitz: Okay, thank you Tim, and stay well.
Timothy Stabosz: Thank you.
Operator: All right. We can go ahead and take our next question from John Adams with Robert Baird.
John Adams: Hi, guys, this is more of a comment. And you can comment on it or just listen and sleep on it. I followed this company in for a handful of decades, nearly 20 years, been a shareholder for many years. And Tim's comments, and I've never spoken to Tim in my life or met Tim, you know, I -- a couple of weeks ago, I'm paging through some of your financials and I get to the piece on the ownership of your company. And I know you guys, Joe and Richard, you guys watch around the table in a large way. And then I started looking at some of the other Board members were had been around since the mid '70s. And most of these folks I own substantially more than these guys that have received, you know, probably over the years, several $100,000 it would be encouraging to see these guys, maybe it's a message to these folks. Hey, put your money where your mouth is. And then Tim's last comments, if the corporate finance environment is such where this company is truly worth those kinds of multiples, why would we not if nothing else consider it and we're, hey, you know, if the company's worth 15 bucks a share, you know, there's execution risks to go aren't $1 and get it to 15 bucks a share in the market. So longtime shareholder patient guy feel like you know, some of the things that Tim had mentioned, hold Samaritan just wanted to make those comments.
Richard Horowitz: I'm at a loss as to what the question is, if you want to -- 
John Adams: Well, the question was here, it was more of a comment. It's disappointing to see your Board owns so less, minus you two guys. There's a handful folks that own the minimis amounts of shares after being on the Board since the mid '70s, 2004, 2004, 2012. You know, and there's been plenty of opportunities to buy right now, for example. And my question is why would the management of this company whose fiduciary responsibility is to maximize shareholder value, go do a chart on this company last 20 years, it hasn't done well at all probably gone down and the things worth shifting to be more to the point, the company's worth 15 bucks a share in this environment, you know, why would the board not consider seeing what the company is worth?
Richard Horowitz: Well, of course, you're not privy to any discussions that we have at the Board level or even individually. So, I guess that's a question. I can't answer that question. But, you know, I don't know, I really don't know what to say about that. I -- we can't tell the Board members, what to -- where to spend their money. And by the way, I don't know if anybody [indiscernible] except to me that I can think of -- 
John Adams: Kenneth Scheriff.
Richard Horowitz: I don't think -- not the seven days that.
Joseph Molino: That's correct.
John Adams: Okay. Maybe, I wrote my notes down.
Richard Horowitz: Yes.
John Adams:  -- long tenure nonetheless. But maybe just, I understand that.
Richard Horowitz: I think -- when we look at the way that Joe and I look at it, our Board members are really very tuned into our business and understand that very, very well. And if they, whatever their personal reasons are for them not buying in the company, just write them, pocketbook and tell them, you know, that's not the right to look at the value that they give us. And each one of them has a value to us. I think so we will replace that person, and we have replaced people in the past. So, and more than that, when you know, when we feel the company is evaluation, and that time is right, we would always really consider anything, you know, so I can't really comment on M&A or, you know, that kind of stuff. You know, it's a loaded question. I can't answer.
John Adams: Yes. Well, hey, just thanks for listening, and I appreciate it.
Richard Horowitz: Okay. Thank you for your time. Bye-bye.
Operator: All right. We'll go ahead and take our next question again from Andrew Shapiro. Please go ahead.
Andrew Shapiro: Oh, I'm sorry, I already used up my time, but I didn't know if this thing was turned off on it.
Richard Horowitz: Never mind. Okay.
Operator: Okay. We can go ahead and take our next question again from Timothy Stabosz.
Timothy Stabosz: Actually, I have no further questions. I was just, I didn't -- I got into the call late. So, I wasn't clear on what the exact rules were so, I'm done gentlemen, thank you for the discussion. And I hope you'll consider what we all have -- what we have to say. Thank you.
Richard Goodman: You're welcome.
Richard Horowitz: All right. Thank you.
Operator: All right. Well, it appears there are no further questions at this time. Mr. Horowitz, I'd like to turn the conference back to you for any additional or closing remarks.
Richard Horowitz: Sure. I'd like to thank you all for taking the time today to be on the call with us. And we look forward to speaking in on the Q2 numbers when they come out, sometime during the summer, but in the meantime, we hope that everybody stays safe and well. Have a good day everybody.
Operator: And this concludes today's call. Thank you all for your participation. You may now disconnect.